Operator: Ladies and gentlemen, welcome to the Symrise Full Year 2025 Results Conference Call. I am Hilli, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Rene Weinberg, Head of Investor Relations. Please go ahead.
Rene Weinberg: Good afternoon, ladies and gentlemen. Welcome to our full year 2025 results call. Thank you for joining us today. All related documents, including the press release and presentation are available in the Financial Results section on our IR website. With me today are our CEO, Jean-Yves Parisot; and our CFO, Olaf Klinger. After reviewing our financial performance, a strategy update and the outlook for 2026, we will open the line for questions. With this, I hand over the call to Jean-Yves.
Jean-Yves Parisot: Thank you, Rene, and thank all of you for joining us. Today, we'll review the full year 2025 results and provide an update on our ONE Symrise strategy and our ONE SYM transformation journey and conclude with the full year 2026 outlook. 2025 was a defining year for Symrise. At our Capital Market Day in November 2024, we introduced the One Symrise strategy. Over the past year, we have translated that strategy into concrete actions. And our ambition remains very clear: to deliver sustainable above-market growth while structurally improving profitability. 2025 was marked by soft demand in certain end markets and continued regional volatility. Against this backdrop, we focused on what we control, execution, efficiency, cash discipline and strategic transformation, and we delivered. First, our core Flavor & Fragrance businesses once again demonstrated our resilience as well as the strength of our portfolio and customer relationships. In Food & Beverages, we continue to outperform in nonalcoholic beverages, particularly in Europe and further expanding our leadership in Naturals and Savory. Our Food & Beverages business remained an industry benchmark for growth and profitability. At the same time, we strengthened our growth platform. We completed multiyear capacity expansions in Granada and Vizag, enhanced our chemical footprint in Asia and opened our new fragrance development and production site in Grasse, deepening our access to high-growth customers in the Middle East and Africa. Innovation remains a key differentiator for us with captive launches and new technologies enabling our customers to win in their respective markets. Second, 2025 also marked a step change in our operational performance. Efficiency initiatives delivered EUR 50 million in incremental profit, well above our EUR 40 million target, building on the EUR 50 million already achieved in 2024. These are structural improvements, not onetime gains. We established global procurement and operations organizations to drive scale benefits and asset optimization while preserving customer centricity and the entrepreneurial focus that differentiates our specialized businesses. We are also systematically strengthening connectivity across our segments and our divisions. And third, all of this is embedded in our ONE SYM transformation, a holistic transformation program designed to structurally enhance our competitiveness. A comprehensive review of our chemical production footprint identified clear opportunities to strengthen performance. The divestment of the Terpene business and ongoing operational improvements are direct outcomes. The carve-out was executed with speed and precision, underscoring our execution capability. We also completed the acquisition of Probi, now integrated into our new Care & Wellness division, which I will discuss more in a few slides. We continue to advance our sustainability and circularity initiatives. In 2025, we completed decade work to establish a new [indiscernible] accounting baseline, increasing our measurable impact. We are also implementing a data-driven decarbonization plan step-by-step across our value chain. Equally important is our commitment to the social dimension of sustainability. We continue to strengthen our impact through targeted initiatives and long-term programs. Across our organization, we have introduced a wide range of measures to support the health, safety, well-being and professional development of our people. In parallel, we foster global engagement for environmental protection, education and equity through our sustainability ambassadors network. In summary, 2025 was demanding, but highly productive. Despite challenging demand globally and purchase of softness across our markets, we delivered market-leading organic growth driven by strong performance in our core businesses. Operational improvements translated into the highest profitability in 10 years and a record adjusted business free cash flow, strengthening financial flexibility. This performance enables us to once again increase our dividend, extending our 16-year track record of annual dividend growth. In addition, we launched our inaugural share buyback program with a EUR 400 million authorization in January 2026, reflecting our belief that investing in Symrise itself currently represents the most attractive use of capital and offers compelling long-term value for our shareholders. We enter 2026 stronger, more focused and structurally more competitive, well positioned to accelerate performance going forward. Before we turn to segment performance, I want to note that going forward and aligned with our ongoing commitment to transparent financial reporting, we'll be reporting adjusted supplemental non-IFRS performance measures. An adjusted EBITDA is intended to enhance investor understanding of the group's underlying operating performance and improve comparability across reporting periods, in line with the sector practice. Olaf will go into more details on this in this section. With that, let's turn to Slide 5 to review our full year 2025 sales by segment. Taste, Nutrition & Health grew organically sales by 2.6%, reaching reported sales of EUR 3 billion, led by Food & Beverages with strong performance in Beverages, Savory and Naturals. Scent & Care delivered organic sales growth of 3.2% with reported sales of EUR 1.9 billion. Fragrance remained strong across all major applications in Fine and Consumer Fragrance. Let's move now to the full year regional results on Slide 6. Organic sales in North America were up slightly, both year-on-year and sequentially compared to the first quarter as macroeconomic uncertainties, persistent inflation and growing political and regulatory unpredictability led to pockets of softness and continued weaker overall consumer sentiment. Europe, Africa and the Middle East performed well despite global demand softness with organic sales growth of 2.8%. Asia Pacific grew organically by 3.2% due to softer consumer demand. And Latin America delivered 6.6% organic growth with strong broad-based performance. I will now turn the call over to Olaf to share more details on our financials. Thank you, Olaf.
Olaf Klinger: Yes. Thank you, Jean-Yves, and also a warm welcome to everybody tuning in today. I'll start with our group Q4 sales performance on Slide 8. In the fourth quarter, organic sales growth was 3.6%, led by volume and a flat pricing environment. FX remained a headwind, reducing sales by EUR 61 million or 5.2%. Taste, Nutrition & Health achieved 2.5% organic sales growth, driven by a 1.6% volume increase and positive pricing of 0.8%. Food & Beverage continues to deliver strong results with market-leading mid-single-digit growth driven by Beverages, Naturals and Savory. Pet Foods was flat year-on-year with Palatability growing at low single digits in line with the market, while Nutrition delivered mid-single-digit volume growth, helped somewhat by strategic pricing actions implemented in early 2025. Scent & Care achieved 5.5% organic sales growth in the fourth quarter, driven by a 7.5% volume increase and negative pricing of 2%. In Fragrance, we saw continued momentum with high single-digit growth led by Consumer Fragrances, which delivered double-digit growth and supported by Fine Fragrances on strong prior year comparables. Cosmetic Ingredients delivered low single-digit growth amid tough year-on-year comparables. UV filters continued to normalize following a very strong prior year, while Micro Protection saw strong momentum. Aroma Molecules achieved mid-single-digit growth on weak comparables, driven by strong demand for fragrance ingredients. Please turn to Slide 9. For full year 2025, we delivered above-market organic growth and meaningful margin expansion despite a lower volume operating environment as we focus on controlling the controllables. Organic sales grew 2.8%, driven primarily by 2.2% volume growth and pricing contributing of 0.6%. Portfolio changes related to the Aqua Feed divestment earlier in 2025 and also the 51% divestment of our U.K. beverage trading business in March 2024, reduced reported sales by EUR 60 million. FX was a significant headwind, negatively impacting sales by EUR 194 million, largely due to the depreciation of multiple currencies, most prominent the U.S. dollar. As Jean-Yves mentioned, as part of its ongoing commitment to transparent financial reporting, we will be reporting adjusted supplemental non-IFRS performance measures going forward. It will be an adjusted metric to align reporting more closely with peers and market standards and enhance transparency, comparability and clarity around underlying operating performance. Our adjustment framework is clearly defined and focused strictly on nonoperational and nonrecurring items, primarily portfolio changes, restructuring and optimization initiatives and other exceptional events. For full year 2025, adjustments included first, the previously announced noncash impairments of EUR 150 million related to Swedencare and EUR 148 million related to the revaluation and reclassification of the Terpene business, with the latter being EBITDA neutral. Second, EUR 11 million tied to portfolio optimization, of which around EUR 1 million is EBITDA neutral. Third, EUR 6 million associated with the ONE SYM transformation program; and fourth, EUR 3 million costs related to the antitrust investigation. These are the onetime. Adjusted EBITDA margin expanded by 120 basis points, driven by accelerated execution of the ONE SYM transformation. We realized EUR 50 million in cost savings and efficiency gains, outperforming our own target of EUR 40 million, which is a clear demonstration of operational focus and execution rigor. Please turn to Slide 10 for a review of our Taste, Nutrition & Health segment performance. For the full year, we delivered solid organic growth of 2.6%, driven by a 1.8% volume increase with pricing contributing 0.8%. Taking into account portfolio and exchange rate effects of EUR 142 million or minus 4.6%, sales were EUR 3.028 billion in reported currency. Food & Beverage delivered industry-leading mid-single-digit organic sales growth, and this despite strong comparables with high single-digit organic growth in both EAME and North America. Beverages delivered high single-digit organic sales growth with continued strong momentum, while Naturals and Savory continued to grow at mid-single-digit organic growth rate. Pet Food growth was in line with the market and flat year-on-year, reflecting disciplined strategic pricing actions implemented at the beginning of 2025 to enhance competitiveness in our Pet Nutrition business. Pet Palatability delivered low single-digit organic sales growth. Adjusted EBITDA for the TNH segment increased by 5.2% to EUR 722 million. The adjusted EBITDA margin increased 160 basis points to a market-leading 23.8%, primarily driven by profitable sales growth, portfolio mix effects and efficiency gains related to our ONE SYM transformation. Please turn to Slide 11 for the performance of our Scent & Care segment. Organic sales growth was 3.2% for the full year, driven by a 3% volume increase and pricing of 0.3%. FX continued to be a headwind of 3.5%. Segment sales were EUR 1.901 billion in reported currency. Fragrance delivered high single-digit organic growth, reflecting continued strong momentum across the portfolio. Fine Fragrance achieved high single-digit organic growth, supported by new wins, particularly in North America and Latin America. Consumer Fragrances also delivered high single-digit organic growth, driven by a strong business pipeline. Cosmetic Ingredients reported a low single-digit decline, reflecting tough prior year comparables in UV filters, while microprotection continued to grow [Technical Difficulty] low single-digit growth in a dynamic market environment impacted by competition from Asia. Scent & Care adjusted EBITDA increased 3.5% to EUR 359 million. Segment adjusted EBITDA margin improved to 18.9%, an increase of 70 basis points, primarily driven by profitable sales growth and efficiency gains. Turning to group profitability on Slide 12. This year, we delivered 120 basis points of improvement to both adjusted gross profit and adjusted EBITDA margin, mainly driven by product mix and efficiency gains through our ONE SYM transformation. Through our ONE SYM transformation, we delivered EUR 50 million in cost savings and efficiency gains, underlining our continued focus on sustainable profitability improvement. This included EUR 35 million from sourcing and procurement scale, driven by a more global approach and evaluation of key raw materials for efficiencies with citrus being a good example. Productivity and capacity optimization contributed another EUR 10 million. Global asset and logistics management actions such as facility optimization, distribution contract renegotiations and regional logistics tenders contributed EUR 5 million. The decline in adjusted D&A was mainly due to a noncash impairment on plant and machinery in 2024 and FX translation. Moving to our strong business free cash flow on Slide 13. We delivered absolute cash flow of EUR 780 million and expanded the adjusted business free cash flow margin by 220 basis points to 15.8%, the company record. This performance was driven by a strong EBITDA uplift, lower CapEx intensity and disciplined working capital management through targeted inventory reduction. Net working capital was 32.5% of last 12 month sales, reflecting tight operational control across the organization. The robust performance puts us well into the range of our midterm target of greater than 14% business free cash flow margin, demonstrating our earnings quality, resilient cash generation and execution strength. Let's quickly move to our balance sheet and net debt on Slide 14. We continue to strengthen our balance sheet throughout the year. Net debt, including pension provisions and leasing obligations stood at EUR 2.1 billion, while net debt to adjusted EBITDA decreased to 1.9x, driven by disciplined debt reduction and strong cash generation. We were pleased to receive our inaugural investment-grade credit ratings from both S&P Global and Moody's at BBB+ and BAA1, respectively, each with a stable outlook. We have updated our long-term leverage target range to 1.5x to 2.5x. Maintaining a solid investment-grade profile remains a priority and providing financial flexibility, resilience across cycles and a strong foundation for disciplined value creation going forward. Turning to our disciplined approach of capital allocation on Slide 15. Our capital allocation priorities are clear and consistent, focused on both organic and inorganic investments to drive long-term value creation, return of capital to shareholders while maintaining financial strength and flexibility. First, we continue to invest in organic growth, prioritizing high-return projects that build on our core capability and support profitable, scalable growth. Our midterm CapEx target remains disciplined at 4% to 5% of sales, enabling strong reinvestments while maximizing cash conversion. Second, we pursue disciplined value-accretive M&A. We focus on opportunities that strengthen our portfolio, expand our footprint and deliver tangible synergies, always within a clear financial framework. Third, return of cash to shareholders remains a key priority. Our dividend policy targets a payout ratio of 30% to 50% of net income, and we are committed to growing the dividend over time. And fourth, we added share buybacks as a new option of our capital allocation policy. In January this year, we announced our inaugural share buyback program with a EUR 400 million authorization to October 2026, providing further flexibility how to return capital to shareholders. Across all those priorities, we remain committed to maintain a solid investment-grade profile. Moving to Slide 16. We continue to enhance shareholder value through resilient earnings and disciplined capital allocation, including sustainable dividend growth. Adjusted full year 2025 earnings per share were EUR 3.67, a significant year-on-year increase by 7.2%. Without adjusting for the Swedencare and Terpene business write-downs, earnings per share were EUR 1.78. This year, we are proposing our 16th consecutive dividend increase to EUR 1.25 per share, demonstrating our strong financial position and proven ability to reward shareholders across dynamic market environment. In addition, we are further strengthening shareholder returns through our share buyback program, reflecting our confidence in the business and our strong financial position. And with this, I will hand the call back to Jean-Yves to discuss further our strategy. Thank you.
Jean-Yves Parisot: Thank you. Thank you, Olaf. Turning now to Slide 18. As a quick reminder, ONE Symrise is our purpose-driven strategy aligned to our financial ambitions and built on 3 pillars: portfolio growth and efficiency. It defines where to play and how to win, ensuring we allocate capital and resources to the highest value opportunities for our customers and our shareholders. To deliver our strategic ambition and execute our road map, we are investing across the organization in 3 key enablers: sustainability, digitalization and people. Sustainability is an integral part of Symrise purpose, and we are committed to delivering measurable impact. We are combining resilience along our relevant supply chains with science-based innovation and circularity to meet evolving customer expectations. Sustainability is essential for our competitiveness and our ability to sustain strong performance over time. At the same time, we are accelerating digitalization, including AI to sharpen our competitive edge and drive value creation. And we are investing in our people because ultimately, it is a committed and knowledgeable Symrisers who make our transformation possible. The ONE SYM transformation serves as the execution engine of our strategy. It is a multiyear program focused on improving the quality of sales and delivering sustainable above-market growth while enhancing profitability, increasing returns and strengthening our long-term competitive position. Please turn to Slide 19. Today, the most visible proof of our transformation is a EUR 100 million in cumulative cost savings and efficiency gains we delivered in '24 and '25, alongside a 280 basis point expansion in adjusted EBITDA margin. This very tangible progress reflects disciplined execution. We streamlined sourcing and procurement, improved capacity utilization across our network and optimize facilities through global asset management. These actions structurally improved our cost base and strengthened operating leverage. But this is only the most visible part of the story. In parallel, we completed the strategic assessment of our chemicals production footprint and activities. We sharpened the portfolio, divesting Aqua Feed and advancing the divestment of the Terpene business to focus capital on higher return opportunities. Moreover, we laid the groundwork for future growth with strategic investments. We launched a global data and AI hub in Barcelona to significantly advance our digital capabilities. At the same time, we expanded capacity to meet demand in key markets, including Grasse, Granada, Monterrey and Holzminden, ensuring we remain close to our customers and resilient in supply. In parallel, we initiated the implementation of a company-wide innovation ecosystem designed to accelerate connectivity, speed product development and translate IDs into scalable solutions. We also strengthened our leadership bench by appointing 10 new leaders to key roles across the organization. Finally, we improved our organizational structure to enhance our competitiveness and better position Symrise to capture the significant opportunities in Care & Wellness. Together, these actions create a stronger Symrise and provide the foundation from which we are accelerating our transformation. Turning to Slide 20. We are well into Phase 2 of our transformation. Over the past year, we prioritized operational rigor, strengthened accountability and tightened cost management. We sharpened our focus on the most attractive growth platform through deliberate portfolio choices, and we also began optimizing our commercial model. Thanks to this strong foundation, we are now positioned to accelerate this transformation to unlock faster growth, structurally higher profitability and improve earnings quality. This acceleration is designed to drive above-market growth in our strategic segments, embed efficiency and structural cost reduction across Symrise, enabled by digitalization and advance innovative and sustainable technologies that reinforce our competitive advantage. This acceleration does not mean changing direction. It means scaling what is working and executing with greater speed and focus. Our objective is crystal clear, strengthen competitiveness today and position Symrise to consistently deliver durable, profitable growth, cash and returns in an increasingly dynamic market environment. Turning to Slide 21. As we continue to build this foundation for growth, we are further aligning our portfolio with customer needs and opportunities, focusing on differentiated science-based holistic solutions. This reflects how our customers are innovating and how end markets are evolving. A key step in this journey is the evolution of the ONE CARE project into our new Care & Wellness division. This is much more than a structural change. It is strategic. By bringing together Cosmetic Ingredients, health active solutions and probiotics, we have created an integrated platform designed to meet customer demand for science-based holistic self-care solutions as the convergence of beauty and health. Care & Wellness addresses a large and structurally growing market. While this will not be an intermediate -- immediate growth accelerator, it is a mid- to long-term value driver in an attractive segment where innovation, credibility and scale matter. We are innovating in this category with leverage through our scientific leadership, application expertise and customer intimacy. As of January 1, 2026, Care & Wellness is reported as a division within our Scent & Care segment, underlining its strategic relevance within the group. This platform establishes a differentiated position in a significant market, which is growing more than 5% annually, and we expect Care & Wellness to exceed EUR 500 million in sales in 2026. By leveraging Symrise unique capabilities across attractive segments, product formats, biotech and green chemistry, we are very well positioned to scale this platform and unlock long-term value. At the same time, we continue to actively shape our business. With some key initiatives, we are completing the divestment of the Terpene business and further strengthening the portfolio through ongoing strategic reviews and the evaluation of selective accretive M&A, ensuring continued focus, competitiveness and disciplined capital allocation. Turning to Slide 22. Looking ahead, our focus is clear, speed and differentiation. As we have discussed today, the foundation is in place. We have strengthened the cost base, improved earnings quality and sharpened the portfolio. Now we are pivoting from the efficiency to the effectiveness. We will provide more details of our plan in the coming quarters, but I can already share with you some details. First, driving commercial excellence by strengthening our go-to-market model. Second, scaling customer-driven and differentiated innovation by converting our R&D strength and customer centricity into higher value growth. Third, extracting greater scale benefits by leveraging our global footprint, procurement capabilities and asset base to continue expanding margin. And fourth, accelerating digitalization and utilizing AI to embed data-driven decision-making, productivity gain and speed-to-market advantages across the organization. Let me emphasize that our strategy is not about choosing between profitability and growth. It is about delivering both consistently and sustainably. Our disciplined execution on the structural improvements we made over the past 2 years give us control and leverage. The strategic investment we made give us capacity to grow. We are now entering the next phase and accelerating from a position of strength. Our ambition is clear: to become a sharper, faster, more competitive Symrise to deliver superior long-term value. And let me conclude with our outlook on Slide 24. For the full year 2026, we take a prudent approach to guidance and expect organic sales growth in a range of 2.0% to 4.0% with an adjusted EBITDA margin of 21.5% to 22.5%, and an adjusted business free cash flow margin of above 14%. This full year 2026 outlook assumes Q1 organic growth to be down low single digits year-on-year, reflecting high year-on-year comparables as pockets of end market demand remains soft and the conflict in the Middle East adds another layer of uncertainty to the macro picture. From a year-on-year perspective, comparisons will be more challenging in the early part of the year before becoming more favorable as we move through the back half. Our 2026 guidance is not only underpinned by the acceleration of our transformation, but also supported by a very strong project vitality with key customers and a very solid pipeline of new solutions and a key resilience in our core end markets. We believe this will help offset near-term market pressures and position us for growth as demand normalizes. Looking beyond 2026, we remain very confident in our midterm targets and ability to outgrow our reference market. We see sustained multiyear growth supported by structural tailwinds, including evolving regulation, increasing demand for clean-label and natural solutions, ongoing reformulation and continued expansion in emerging markets. With a focused advantaged portfolio and strong innovation pipeline, we are well positioned to convert this tailwind into long-term profitable growth, supported by the acceleration of our transformation. Accordingly, we reaffirm our 2025 to 2028 targets, annual organic sales growth of 5% to 7%, EBITDA margin of 21% to 23% and a business free cash flow margin of more than 14%. With that, let's open the floor for questions. Thank you very much.
Operator: [Operator Instructions] the first question comes from the line of Charles Eden from UBS.
Charles Eden: Limited to 2. Can I start on the 2026 organic sales growth guidance, please? And I guess both of my questions are actually on this. Firstly, for the full year, what are you assuming is the contribution from volume and pricing in the 2% to 4% range, please? And then more specifically on the Q1 guidance for a low single-digit decline in organic sales. I've looked back through my model. And as far as I can see, Symrise has never seen an organic sales decline in a quarter, not during COVID nor when you had the cyber attack in Q4 2020. Now I understand the comment on high prior year comps, but you've had tough comps before, too. So can I ask, how much of this guidance is realism? And how much of it is baking in some conservatism or prudence for current global conflicts and any other impact that this might have in March. I guess maybe a different way of asking this question is, we're 2 months through Q1 already, are you seeing organic sales growth down low single digits across January and February?
Jean-Yves Parisot: Okay. So thank you very much, Charles. Thank you for these 2 questions. And I will answer the 2% to 4%, first. What would be the price volume impact on that? Just let me put that in a context. So we delivered a very strong 2025, and we are very proud on the way we are really acting, very strongly and very diligently when the market is really making everybody suffer. So I think we need a very good end year also, and it's something we need to be aware of. Now concerning the coming year, our organic sales growth guidance reflects what I should say, a realistic and balanced view of the environment. And it is designed to cover both downside and upside scenario we have in mind. So if the market rebounds, second part of the year should be lower end of our guidance. If it rebounds, more should be high end of the guidance. So I am myself confident to delivering this 2% to 4% guidance, taking into account that it will be mainly driven by volumes. I cannot tell you what will be the price volume in advance, but it will be definitely driven by volumes. Now concerning the Q1 low single-digit information I just gave you, it is the first time. Is it due to tough comparables? Yes. Last year, we had a very high Q1, and it was the most impressive quarter of the last year and the comparables for the end of the year will be less challenging for our growth. That's the first answer to your question. The second question concerning is it a realism or prudence? I think we have shown that we can act very strongly, but we want to stay prudent. We want to stay prudent. Why? Because not only this high comparable, but the macro economy is not something we can control. The last days events are also participating also to our real prudence. And we remain very confident even if the Q1 slowdown forecast anticipation is there. And I should say, yes, it's a prudent anticipation. I am myself very confident for delivering 2% to 4% because, as I was mentioning also before, we have a very strong pipeline. We have a very strong pipeline, very good customer relationship, and we see that the market is ready to rebound. And when the market will rebound, we will really take a major piece of it by overperforming the market like we did the previous years.
Charles Eden: Understood. So just to clarify, if we come in at a midpoint of low single-digit decline in Q1, so minus 2%, you need 4.7% organic for the rest of the year to hit the midpoint of the guidance, you'd need 6% organic for the rest of the year to hit the top end of the guidance. You're confident in that even if Q1 lands at minus 2%. Is that correct?
Jean-Yves Parisot: Yes, exactly, Charles. I remain confident on the full year, but we remain prudent for the Q1 organic sales growth. But yes, I am confident for delivering the guidance.
Operator: We now have a question from the line of Lisa De Neve from Morgan Stanley.
Lisa Hortense De Neve: I just have one follow-up on the first quarter guidance, if I may. Can I just confirm with you whether there has been no phasing effects that may have benefited fourth quarter and may not be seen in the first quarter? That would be helpful. And secondly, on that first quarter as well, given the tensions, I mean, are you currently expecting that maybe some orders are being deferred into second quarter or shifted forward and that's what's driving the guidance? And what have you seen year-to-date? I mean, so far in the first few months, has trading been solid? So that's the question on the first quarter. And then secondly, I would love for you to outline how you see the Pet Food market for this year and whether you can confirm whether any incremental price negative should be expected for this year, especially in Pet Nutrition?
Jean-Yves Parisot: Okay. Thanks a lot, Lisa. So concerning the first question, Q1. Q1, we did a very strong Q4 in 2025. So again, the market is there. Comparatively, by the way, to the Q4 2024, we had an easier comparable. It's also -- I'm sorry to make a lot of comparables, but it's also explaining the quarterly performance in terms of organic sales growth. So the quarter-to-quarter 2024, 2025 was easier. And the quarter-to-quarter Q1 2025 and 2026 is not so easier. So it's really mainly due to the comparable. And again, I am very prudent. So is it something where also some orders are shifting to Q2? We don't know yet. We don't know what will be the impact also, and we are measuring the impact of the last days events, and it's too early for us to really give an idea on a day-to-day basis, what will be the impact between Q1 and Q2. So again, we are following on a day-to-day. And the idea for us is really to deliver the customer when the customer is really needing the product. Concerning the Pet Food, the Pet Food is a key strategic growth driver for Symrise. So we are really very well positioned for following the rebound of the pet market when the rebound will happen. And this year should see a better market dynamic than last year. And concerning your Pet Nutrition, I just remind that Pet Nutrition represent 1/4 of the Pet Food market. And we took some actions in 2025 to restate and reposition the pricing -- the prices. So the prices in Pet Nutrition begin to normalize with the exception of selective price adjustments. And we really anticipate in 2026, a return to moderate volume net organic growth. So again, we are out of the readjustment of the prices we did strategically in 2025. Now it will be selective price adjustments if necessary. And we will do that because also what I said before, our growth will be mainly driven by volume this year. And then when the price adjustments are needed, we will adjust the price because we're selling added value products, but selling added value product, even unique product doesn't mean that we have also to oversell, and we want really to sell the right price for the right usage value.
Lisa Hortense De Neve: I mean, just one small follow-up, if I may. Can I just confirm that you just stated that you've already agreed on selective price adjustments or that you would be open if needed to do that?
Jean-Yves Parisot: No, we already embedded in our organic sales growth, some price adjustments. We did the major part of our contract for 2026. So the picture is much better than 2025. And we still have some price negotiation in front of us. So not everything is done. So that's the reason why I cannot give you the full picture. But if necessary, we'll make. And in any case, the growth is there and the volumes are there. So in any case, the growth in Pet Nutrition will be substantial this year.
Operator: We now have a question from the line of Alex Sloane from Barclays.
Alexander Sloane: The first one was actually, again on the organic sales growth. And just in terms of what's driving the acceleration beyond Q1? Is there any particular business line or end market that you would expect greatest step up? And maybe I could sort of just press on the question that's been asked a couple of times. Has the sales in January and February already been down low single-digit? Or is this low single-digit outlook for Q1 really premised on March? That's the first one. And then secondly, just on profitability, the 21.5% to 22.5% guide. Could you give a bit of context on what you're assuming in terms of energy and input costs within that range? Obviously, I appreciate, it's been quite volatile on that front over the last week.
Jean-Yves Parisot: Thank you very much, Alex. So I will take the first question. I will let the second to Olaf. Concerning organic sales growth, we are very confident for growing in 2026. We are very dynamic, very active. We stay very agile on entrepreneur, and we have a lot of good news in our pipeline. So in Food & Beverage, we signed new type of contracts, which we delivered in 2026. And we had a very nice mid-single-digit growth in 2025, which will continue in 2026, [ normally ], right? Fragrance, we did an extraordinary also year -- last year in Fine and Consumer and the dynamic is there. So we have also very nice new wins in the pipe. So if you add EUR 2 billion Food & Beverage, EUR 1 billion of Fragrance, EUR 3 billion are really representing a nice growth perspective for the year. Pet Food is really rebounding. We see some movements in the market. And as I was explaining also in the past, we're also shifting with the market, moving some big brands for more regional or local brands, and we are really capitalizing on what we started to deliver and to build in the last months. So -- and Care & Wellness to make the full picture is a new baby in the organization, and there are a lot of good news, a lot of customer traction, which are making me also confident for the growth. So it's not one business-driven growth. It's really a growth across the 4 strategic markets of Symrise. Now coming back to -- before handing over to Olaf, coming back to your question about January, February, March, I will let you know when we'll have the full picture of the quarter about the dynamic inside the month. But what we see today make us feeling prudent about what we promised for the Q1. So I hand over to Olaf for the second question.
Olaf Klinger: Yes. Thank you, Alex, for the question. On the energy side, as you rightly observed, there's a lot going on in this market. Having said that, Symrise is relatively less exposed to energy prices. As a percentage of sales, around 2.5% is energy cost related. And out of that, around 80% is hedged for Symrise at this point in time. So with this short-term noise, which we all experienced, I think we should be well protected against the major impact from energy prices as we see it right now.
Operator: The next question comes from the line of Edward Hockin from JPMorgan.
Edward Hockin: I've got 2, please. One is on Aroma Molecules. I was wondering, it looks like the Q4 was somewhat stronger, growing mid-single digit. Can you give any color on why this was besides the comparatives? And any details you can give on 2025 and also your outlook for 2026 on Menthol terpenes and Fragrance Ingredients? And then my second question, please, is on Cosmetic Ingredients. Obviously, a softer year with the comparatives. How should we be thinking about the growth trajectory for this business in 2026? Should we be baking in some acceleration, some step-up in the growth there?
Jean-Yves Parisot: Yes. Thank you very much, Edward. So again, Aroma Molecule, Aroma Molecule did a strong Q4 this year also because the comparables of 1 year before was not so high. So Aroma made a good delivery. Concerning what's happening within Aroma Molecule, we are still on the way to divest it in. We are still building very strong position on Menthol, and we have a lot of added value also with our Menthol, specific raw material, innovation, customer relationship. So we are working on it, and we are continuing to develop specific captive and specific molecules, not only for us, specific flavor SFI, specialty flavor ingredients, not only for you -- for us but our competitors. So Aroma Molecule, by the way, we have also a new leadership, and we are refining the strategy. So we will come back, by the way, to you when there will be more to tell. Concerning Cosmetic Ingredients, Cosmetic Ingredients, I should say, had 2 big different type of products. The first one, sun protection. And you know that sun protection, we suffered a lot last year about comparables. We will not have the same situation today. So it means that in terms of volumes, the comparables will be much better. On some of our products, we have to adjust some prices in sun protection, but also we are on the way to this adjustment. And concerning the second business unit, I want to address for answering your question, Micro Protection. So Micro Protection, we invested a lot in a key product, Hydrolite. We're only producing in Germany. Now we produce in Germany, in Spain, in U.S., in Mexico. And we are really facing a strong demand. Now we are in a way to qualify the product and the growth will come in the coming months.
Operator: Your next question comes from the line of Nicola Tang from BNP Paribas.
Ming Tang: I'll ask a question about the margin since there's been so much focus on organic growth. You have a relatively wide guidance range for 2026. I was wondering if you could talk about key drivers here. Is it simplistically low end of organic growth means lower end of the margin range? Or are there other factors to think about in terms of your cost efficiencies versus reinvestment? And then maybe just a sort of small clarification one. You've referenced the Middle East a few times. Could you remind us of your direct exposure and things that we need to bear in mind when thinking about the potential impact of the events over the weekend?
Jean-Yves Parisot: So Nicola, I will start to answer and will let Olaf complete what I will have missed certainly for the second question. I will start with the first question. Even if it looks like flattish profitability, we are still working a lot on profitability improvement. What we started to do, we are still [indiscernible]. So it means that it will not decrease the outcome of what we started. And the annual compounding effect will not decrease. It will improve. Now what you see in the P&L and in our forecast is also including some reinvestment. And as I clearly said, the growth is a story of Symrise. Growth remains the story at Symrise, the profitable way. That's the profitable growth story. And the question to really drive profitable growth is to make the portfolio adjustments, and it costs money also to make some portfolio adjustments and to really invest also in new way of selling new route to market, new innovation, new digitalization tools. And that is the investment we want also to put in our company for really compounding our story. So this is the answer to your question. So the efforts will pay off even more even if it is not totally embedded in the figures we are showing to you. Now concerning the Middle East, I will hand over to Olaf. Olaf, please?
Olaf Klinger: Yes, Nicolas, naturally, it's also of interest for us at the moment what's going on in the region, and we looked at it. The core region for Symrise is around close to 3% of turnover. So it's not a massive environment, which we have in front of us, around EUR 140 million, EUR 150 million is a good number for the size of this business environment.
Operator: We have now a question from the line of Eric Wilmer from Kempen.
Eric Wilmer: I wanted to press a bit on Aroma. Could you perhaps talk a bit about the price and volume dynamics within the Aroma portfolio, perhaps first fitting it between the part that is and that isn't under Chinese pressure? And secondly, you mentioned EUR 150 million related to Middle East. Is that number perhaps a bit higher when you factor in lower air traffic from other airports into the Middle East?
Jean-Yves Parisot: As Olaf wants to started to answer for Middle East, I will let him answer your second question. Concerning the question about the Chinese competition, we are well equipped for competing. We were anticipating some trends and the terpenes divestment is also some divestment, we anticipate some pressure. The terpenes technology is a very good technology and the business is a very good business, but not corresponding to our future guidance. That's the reason why we [indiscernible]. And concerning the Chinese pressure on Aroma Molecule, we have in front of us some Chinese producer for the menthol solutions. We have not only Chinese, we've also a German competitor. And we are really reinforcing our competitive edge. So we face a structural change in the market. We are very transparent about it. We are very aware about it. We are conscious, and we are putting in place a very strong action plan for compensating. So apart from that, concerning our portfolio of Molecules, we are very well protected by some IP, some intellectual property, some type of property protection. And if there are some fights on the cost of goods so -- we will face also the competition. We are really also for adjusting some prices when necessary for guaranteeing some volume. This is also the way to go through this type of competition. I'm very confident that we really can make the best out of it. Concerning Middle East, I will hand over to Olaf.
Olaf Klinger: Yes. So Eric, what I gave you was the size of the business. Naturally, things can change by the hour at the moment. And when it comes to logistics and transportation, it's hard to predict what will happen in the coming days. And therefore, I think it's too early to assess where all this is going in the coming days and weeks. Therefore, I think at the moment, the focus is really on our people, make sure that they are safe and then we interact with customers as good as we can in these days.
Jean-Yves Parisot: So I don't know if we are still some questions, but I think we are now at closing the session. And I thank you all for your questions. And in closing, just some words, we are controlling the controllables. We are executing our strategy and accelerating the transformation. I think we are really [indiscernible] talk. We are backed by a very clear strategy, everybody, all our customers, all our people and a lot of messages from the market are making me very comfortable that it is a very clear strategy. We are very disciplined in our execution, and we have a very strong investment-grade balance sheet. So altogether, we are very confident in our ability to deliver durable earnings growth, expanding returns and sustain long-term value for our shareholders. Again, I thank you for your interest in Symrise. I thank you for your time, for your questions, and we look forward to speaking with all of you again in the future. Thanks again.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect you lines.Goodbye.